Jacques Stern: Good morning. I am Jacques Stern, the CEO of Global Blue, and I will be joined today with -- by Roxane Dufour, the CFO of the group, to present you the full year results of '23/'24. So let me first introduce the presentation by a quick executive summary, which highlight the key takeaways. First of all, the year '23-/24 has seen a very strong operational performance with a revenue increase of 36% with an EBITDA increase of 91% at EUR 149 million, in line with the short-term guidance, translating a drop-through of 64% and an adjusted EBITDA margin of 35.2%, an increase by 10 points versus last year. Roxane will come back much more in detail on that in few seconds. Second key takeaway, the year has shown also a rapid deleveraging and a solid balance sheet improvement with a leverage ratio, which is now at 3.4 versus 6.5 last year at the same time and also refinancing during the year in December '23, with now a debt maturity, which is up to 2030 Third key takeaway is related to tax-free shopping recovery in May and April, where basically we have seen a further acceleration in Continental Europe at 141%, translating by 13 points increase versus Q4. And in APAC, a recovery, which is now reaching more than 200% at 223%, translating an increase of 57 points versus Q4. I will come back to that more in detail after Roxane's presentation. Fourth key takeaway. This has been a year, '23/'24, of very solid strategic initiative progress in the front of digitalization, where we have improved by 4 points of success ratio at 56% versus 52% last year and versus 48% in 2019. We have seen also the year with a continuous commercial dynamic, translating into a gross retention ratio of 99.4% and a net retention of 102.8%. And finally, also in the payment side, a strong acceleration of our gateway initiative with 5 acquirers signed during the year and more than 350 hotels, which has been rolled out during this period. Last but not least, as a key takeaway, we reconfirm our long-term target, which means for the year, '24/'25, an EBITDA over EUR 200 million. And for the years onwards, i.e., '25/'26s and onward, revenue growth of 8% to 12% and a drop-through of at least 50% with an objective of leverage below 2.5x EBITDA on net debt. So with that in mind, I leave now the floor to Roxane, who will present you the Q4 and the full year results of '23/'24. 
Roxane Dufour: Thank you, Jacques. I'm Roxane Dufour, CFO of the group. And as mentioned by Jacques, I will take you through the group's financial performance for the fourth quarter and 12 months period ending on 31st of March, 2024. You can have all the reconciliation to the nearest IFRS metrics included into the appendix. Let's move to Slide 9 for the adjusted P&L related to our fourth quarter. We are very pleased to report here another solid quarter with significant progress across the business. Tax-free shopping solutions and payments reported sales in store increased by EUR 6.5 billion, an increase of 32% versus Q4 last year. Group revenue increased by 21% to EUR 105 million. And turning to adjusted EBITDA, we have delivered a significant improvement of 60% to EUR 34 million, resulting in an increase of around 8 points in the adjusted EBITDA margin to 32.2% with a 69% drop-through. Finally, we recorded an adjusted net income for the group of EUR 2 million versus a negative EUR 1 million in Q4 last year. Let's turn to Slide 10 to dig into the revenue performance. You can see here that we have delivered another strong quarter with significant growth across the business. As mentioned, we reached EUR 105 million revenue, represented a 21% increase versus the same period last year. And I will go into the details by division on the following slides, but you can see that tax-free shopping solutions, payments and post-purchase solutions contributed a further EUR 19 million in revenue during the period. Turning now to the revenue performance per division. Starting with tax-free shopping, accounting for 73% of our group revenue in Q4 this year. The division delivered a strong performance with an increase in revenue of 23% on a reported basis to EUR 77 million. Revenue in Continental Europe increased by 16% to EUR 63 million, while revenue in Asia Pacific increased by 64% to EUR 14 million. This strong performance reflects the ongoing recovery across all origin nationalities with the reopening of Chinese border in January '23 being the key driver of the revenue improvement, especially in Asia, where sales in stores of shoppers from Mainland China has already recovered to 125% in Q4 versus 2019, and Jacques will cover this in more detail later. Turning now to payments. Payments accounted for 21% of our group revenue in Q4. This division also delivered a strong performance with an increase in revenue of 23% on a reported basis to EUR 22 million, reflecting a strong performance across both business segments. Revenue in FX solutions first increased by 27% to EUR 10 million, while revenue in acquiring business increased by 20% to EUR 12 million. As with tax-free shopping solutions, payment is also benefiting from the ongoing recovery in the travel industry, along with new business wins. Turning now to post-purchase solutions. This segment accounted for 6% of our group revenue in Q4. The division delivered a revenue growth of 3% on a reported basis to EUR 7 million in Q4. The revenue growth here is moderate as we took the decision to move away from certain low contribution carrier contracts in ZigZag, but the like-for-like contribution growth of the division after carrier cost is strong at 31%. Turning now to adjusted EBITDA. The significant improvement in revenue, together with the ongoing focus on the cost base led to a 60% increase in adjusted EBITDA in Q4 this year with a 69% drop-through. We begin with our adjusted EBITDA, EUR 21 million last year. Then with the additional business contribution of EUR 40 million, fixed cost and foreign exchange impact of EUR 3 million, the group delivered an adjusted EBITDA of EUR 34 million in Q4 with an increase in adjusted EBITDA margin of almost 8 points to 32.2%. Turning now to Slide 15 for further details on net finance costs. Here, we are showing there was an increase of EUR 5 million in net finance costs versus the same period last year. This is mainly due to an increase in interest cost of EUR 4 million, which is a result of an increase in interest rates to 8.3% during this period versus 5.2% in the same period last year. Now turning to the detail on the quarterly adjusted EBITDA. Here, we are showing the annualized adjusted EBITDA for the group based on the latest quarterly recovery. You can see here a steady and consistent improvement in the annualized quarterly adjusted EBITDA. Based on the latest recovery, the Q4, the annualized quarterly adjusted EBITDA is now at EUR 164 million. This is also a significant improvement in terms of margin from 31.4% in Q4 last year, and now we are at 37.8% in Q4. Now I will take you through the financial detail for the full year. Here, you can see the same positive trends as with the fourth quarter. Tax-free shopping solutions and payments reported sales in store increased by EUR 26 billion, an increase of 41% versus '22/'23. Group revenue increased by 36% to EUR 122 million versus EUR 312 million last year. Turning to adjusted EBITDA. Benefiting from significant operating leverage, we have delivered a strong improvement of 91% to EUR 149 million and in line with our stated guidance, with a 10 point improvement in margin to 35.2%. Finally, we recorded an adjusted net income for the group of EUR 27 million. Again, a significant improvement versus negative EUR 8 million last year. Now let's look at the revenue growth in the period. Again, we delivered a very strong performance with revenue growth of 36% in the year, reflecting a strong performance across the business. So if we start with the revenue of last year at EUR 312 million, there was a strong growth in tax-free shopping solutions of EUR 83 million, with an increase in Europe of EUR 60 million and an increase in APAC of EUR 23 million. This strong performance is again reflective of the ongoing recovery across all origin nationalities. Payments also delivered strong revenue growth of EUR 21 million. And finally, post-purchase solutions revenue increased by EUR 7 million. At the end, we land at a revenue of EUR 422 million for the year. Now turning to contribution growth. Here, we are showing so the contribution across the business, which is the marginal revenue, less marginal variable cost. We have a contribution growth of 38%, which is in line with our revenue growth of 36%. There is a good improvement in contribution by division with EUR 69 million from tax-free shopping solutions; EUR 13 million from payment; and EUR 7 million from post-purchase. Turning now to detail the evolution of our fixed costs. Here, we are comparing our fixed costs in financial year '23/'24 versus '19/'20. As a reminder, the business -- our business benefits from high operating leverage due to 60% of our cost base being fixed. The fixed costs in '19/'20 were at EUR 159 million. The long-term cost savings done by the management during the COVID period resulted in a reduction in fixed cost of EUR 27 million. Then with the increased inflation of EUR 17 million, on a like-for-like basis, our fixed costs would be at EUR 148 million in '23/'24, well below the reported numbers of EUR 173 million, which includes the scope effect of post-purchase solution and listing costs. And as a reminder, we are targeting fixed cost to increase at a rate of approximately 1 points above inflation due to the ongoing investments in OpEx to support our growth ambition from '25/'26. Turning now to the financial year adjusted EBITDA. Similar to Q4, here, we are showing the detail of the full year where we achieved, as mentioned before, 91% increase in adjusted EBITDA with a 64% drop-through. Starting with our adjusted EBITDA last year, which was EUR 78 million. If we look at the additional contribution of each business, we have a further EUR 87 million in '23/'24. And then considering the fixed cost at EUR 40 million, the scope effect of EUR 2 million and EUR 1 million foreign exchange impact, the group delivered an adjusted EBITDA of EUR 149 million, and again, as mentioned, an increase in adjusted EBITDA margin of 10 points to 35.2%. More detail now on our adjusted EBITDA. In '19/'20, we reported an adjusted EBITDA at EUR 171 million. Then we take out the EUR 25 million impact from the abolishment of the tax-free shopping scheme in the U.K. in January 2021, which give us an adjusted EBITDA for '19/'20 at EUR 145 million. Then we have EUR 12 million of business won during the period, which, at the end, gives us an adjusted EBITDA at EUR 157 million in '23/'24 on a like-for-like basis. Then we strip out listing costs and scope effects from post-purchase solution, which take us our reported adjusted EBITDA of EUR 149 million. So in effect, our current adjusted EBITDA of EUR 149 million is ahead of the '19/'20 adjusted EBITDA of EUR 145 million when we restate from the U.K. impact. Moving to the net finance costs. Here, the net finance costs increased by EUR 14 million versus the same period last year due to an increase of EUR 21 million in debt interest costs as a result of an interest rate increase from 3.67% to 7.05%. This was offset by a decrease in other finance costs by EUR 8 million with the previous period being impacted at that time by the foreign exchange losses related to Certares and Knighthead equity transaction and also our supplemental shareholder facilities that have been reimbursed this year. In May of this year, we successfully repriced the debt, reducing the interest rate margin by 100 basis points on both the term loan and RCF to 4% and 3.5%, respectively, from June 2024. This will result in an annualized interest cost of EUR 48 million at actual Euribor on the senior debt of EUR 610 million. Turning now on our cash flow statements. After an adjusted EBITDA of EUR 149 million, the level of CapEx was EUR 39 million in the period, and it essentially related to technology development. You can see here a working capital outflow of EUR 3 million versus EUR 38 million last year, but I will cover that in detail on the next slide. So after CapEx, working capital and lease payments, we delivered a pretax unleveraged free cash flow of EUR 95 million, which is an increase of EUR 100 million year-on-year to positive cash flow for the first time since COVID and in line with our historical performance. We have also paid higher interest of EUR 56 million. And this is, as mentioned, mainly due to interest rate rise over the year. Then after income tax paid in the period, that gives us a positive free cash flow of EUR 22 million versus negative EUR 32 million in the prior period. Finally, considering all the major movements such as the EUR 44 million inflow from the strategic equity investment from Tencent during the year and the EUR 25 million of cost related to the refinancing which we completed in December, our net debt has decreased by EUR 27 million over the period. Turning to the -- now to the detail for the working capital dynamics. Here, we are showing the variation between last year and this year. As a reminder, our working capital is driven by the timing of the refunds that we make to international travelers and the timing of the VAT payments that we receive from merchants and tax authorities. We typically refund travelers on average 30 to 45 days before we are paid by the merchant or the authorities. As a result, we experience cash flow seasonality throughout the year with a larger net working cap need during spring-summer when international shoppers travels more frequently followed by a working cap unwind during autumn and winter months. How we have seen the travel industry recover? We have seen a significant increase in volume, which leads to a much higher working capital need last year. And now as we are in a more settled environment, you can see this stabilize with a more balanced working capital need during spring and summer followed by working capital excess during autumn, which has led for the year to a EUR 3 million outflow for this period, '23/'24. And as we assume more normalization in growth starting in '25/'26, we expect net working capital to be neutral on an annual basis. Turning now on an analysis of our net debt position. As of 31st of March, '24, our net financial debt amounted to EUR [ 523 ] million, including cash and cash equivalents at EUR 88 million. And you can see here, there has been an ongoing improvement in the net leverage ratio from 6.5x from end of March '23 to 3.4x at the end of March '24. And as a reminder, in November '23, we took the opportunity to renegotiate our senior debt to strengthen the balance sheet with the refinancing closing on the 5th of December with a senior debt at EUR 610 million with a maturity of 7 years and a revolving credit facility at EUR 97.5 million. Turning now to the key takeaways to conclude this section. First, we are pleased to report the solid recovery with a significant increase in our revenue of 36% to EUR 422 million. Thanks to the strong revenue growth and the ongoing management of the cost base, we are pleased to report a strong improvement in the full year adjusted EBITDA to EUR 149 million. This is an increase of 91% of what has been reported last year with a 64% drop-through. On that basis, if we annualize the adjusted EBITDA base on the quarterly performance of the group, this is an acceleration in Q4 at EUR 164 million. Furthermore, we delivered a pretax unleveraged free cash flow of EUR 95 million, supporting positive cash flow for the first time since COVID and in line with our historical performance. We have also delivered a strong improvement in the net leverage ratio to 3.4x and reiterate our objective of being below 2.5x. Finally, in May '24, we successfully repriced our senior debt, with the interest rate margin reduced by 100 basis points on both the term loan and RCF to 4% and 3.5%, respectively, with a EUR 6 million reduction in the annualized interest cost. This concludes the finance section, and I will now hand over to Jacques to present the latest trends and the long-term growth driver for Global Blue. 
Jacques Stern: Thank you, Roxane. I will start by the latest trend. We can see that the sales-in-store volume for tax-free shopping in Europe has accelerated in April and May at 141% compared to 128%. And we see that all major nationality have contributed to this acceleration. About Mainland China, I will come back in a minute to that. If we linked -- look now to APAC, we see that the acceleration in April and May have been even more sizable than in Europe at 223% versus 166% in Q4. And there also, we see that all nationality are contributing, in particular Mainland China which is accelerating from 125% to 190%. And what we are seeing from that point of view is that clearly, Chinese recovery is driven by APAC versus Europe, in particular, given the low yen in Japan, which drives consumer, in particular, affluent and high net worth individual Chinese to Japan versus Europe. But all in all, we are seeing that both in Europe and in APAC, April and May has been very strong versus Q3 and Q4. If we look now to the same data on April and May, but versus last year, we see that the increase has been of 22% versus 18% and 13%, respectively, in Q4 and Q3 for Continental Europe, mainly driven by the increase of international shopper of 20% and a stabilization in the average spend, which is only increasing by 1%. The overall translated by 22% increase versus last year. The main nationality contributing to this 22% are GCC and Mainland China, which are around 40%. But all nationality are positive. If we go now to the same analysis of performance versus last year, but this time for APAC as a destination, you can see that there, we have a triple-digit increase in April and May, so an acceleration versus Q3 and Q4 at 118%, which is driven mainly by Mainland China, but not only, at 268% increase. In APAC, as a destination, we see the same trend; acceleration in terms of number of international shoppers versus last year with 70% more travelers and an average spend, which is there increasing by 15% versus flat in Europe, mainly driven by Chinese, which are coming to Japan and spending more, as I was mentioning just before. So in summary, the last 2 months have been very strong, which is a good news, versus our objective of EUR 200 million EBITDA for the year. So let's move now to the third section of this presentation, which is the achievements of '23/'24, which gives me the occasion to drive you through the long-term initiative. Let's start first by tax-free shopping and the digitalization, which, as you know, remains one of the key initiative in order to improve the performance. You may remember that the digitalization in the store is now mostly achieved. We are already at 99% this year, but we were also at 98% last year. So what means digitalization in the store is to roll out some differentiator that we have versus competition, namely eligibility detection and secured card capture in order to improve the success ratio. And you see there that we have continued to roll out those 2 differentiation. And you see on the right, the positive impact on the success ratio of those 2 functionality. I remind you that eligibility detection means to be able to recognize the consumer in the store through the BIN of its card when it's paying and trigger automatically a prompt to the shop staff and secured card capture is the functionality which is enabled by the payment integration, like Adyen, for example, which allow the shop staff to use the same card, which has been used for the payment, for the refund, which they also improve the customer journey, which translate into an improvement of the success ratio. Post-store, we have also continued to see some progress in terms of digitalization. So digitalization in terms of export validation, now 84% of the volume is validated through a digital solution, but also to continue to improve the consumer interaction, which are fully digital through our mobile customer care, which you may remember also had a benefit in terms of improvement of success ratio. We are now at 84%. And last but not least, we have continued to pay more refund outside of refund point, so namely on card, which are captured directly in the store or through the mobile customer care, which enable us to reduce the cost, in particular, the one that we pay at the airport and remind you that we have given this guidance, which is for every 10 points of shift outside of the airport, we have a EUR 7 million benefit in terms of cost savings. This year, it has been around EUR 2 million. And there also, as I was mentioning, you see the progress from 51% last year to 54%. So in all meaning, you see the progress that we have made in terms of digitalization which translate into, as I was mentioning in my executive summary, a very strong improvement of the success ratio this year at 56% versus 52% last year. And this translates into now improvements, which are very significant versus 2019 of 6 points. And if we go in detail per nationality, that translate, for example, in America, from 22 points of increase of the success ratio, which is now at 64%, which mean that it used to be at 42%, and basically more or less the same on all nationality. So all in all, as I was mentioning, 56% success ratio, which is an improvement of 6 points versus '19/'20. If I move now to the initiative in terms of commercial dynamic, there also very strong successes. Of course, you remember that Global Blue is leader by far at 70% market share. But more importantly, we have seen, in the last 5 years, an acceleration of our KPI in terms of net retention at 102.8% versus the same period '14 to '19 of 103% (sic) [ 100.3% ] and also the same improvement in terms of KPI in terms of gross retention at 99.4% versus 96.3% in the previous period. And this translate, even if we have not changed the 70% market share mark into gain of market share, which are sizable, and here, we have given one example, which is Spain, where we have official data, which are given by the customs authority, where we can see that Global Blue has win almost 10 points of market share between 2019 and 2023, and we are now at a market share of 77%. And obviously, these successes in terms of digitalization and also commercial dynamic, allow Global Blue to perform better than its competitor. You have here the figures of Global Blue recovery for the main 3 countries in Europe, where our main competitor is present. And you see that we have a gap versus the recovery of our competitor, which is around 50 to 55 points, depending on the country, which is the direct impact of, one, digitalization, which translates into more success ratio, which improve the recovery, but also the gain of new clients and all in that translates into a very big gap with our competitor in terms of level of recovery, which is a very good news. If we move now to our second line of business, payment, in particular with the FX solution, there also a very healthy situation in terms of net retention rate, 104.8%. And you have a couple of logos here, which gives you the main win for the last 2 years. I will not comment more than that, but also, as I was mentioning, a very healthy situation in terms of FX solutions for the [Technical Difficulty]. If I move now on the second line of business for payment, which is the hospitality gateway, there also a very strong performance during the year. We have signed 5 acquirers during the year with more than 350 hotels, which has been rolled out as you can see on the left. And equally importantly, we have signed 5 more acquirers during the last quarter of the financial year, which will start in terms of rollout during the next financial year '24/'25, so ensuring a continuous growth for this new initiative of hospitality gateway. So in summary, a very strong year in terms of achievements, which is a good transition for the long-term guidance. So here, we just reiterate what we have announced in September '23, which is, for '24/'25, an EBITDA of more than EUR 200 million with a CapEx investment of EUR 40 million to EUR 45 million. And for the long term, i.e., post '25/'26, a long-term target in terms of revenue between 8% to 12%, with a 50% drop-through revenue to EBITDA and the same guidance in terms of CapEx between 40% and 45% (sic) [ EUR 40 million and EUR 45 million ]. In terms of net working capital, as mentioned by Roxane, a neutral working capital on annual basis, even though we have a seasonality with the summer. In terms of tax rate and effective tax rate, which will go down with the increase of the EBITDA to 24% to 26% rate, and as also mentioned by Roxane, an objective of leverage, which is below 2.5. So let me give you 2 or 3 snapshot on this long-term guidance, starting first by tax-free shopping. You know this slide, but it's quite important to reiterate how we can deliver this 8% to 12% growth in terms of revenue. It starts first by tax-free shopping by the volume growth, where basically, our guidance is 10% to 14%, which is a combination of multi-driver coming from the market, 6% to 8%, the dynamics in terms of new market opening, 1.5% to 2%, digitalization just drive you to the impact of the success ratio, which was very strong this year, 4 point, which is -- which was translating into 8% increase or contribution to the increase of the revenue this year. which was a fantastic year. We are more moderate in our guidance versus the 8%. We [indiscernible] only guide to a 2% to 2.5% increase of volume coming from digitalization and also net retention, where we guide by 0.5% to 1.5%. So a combination of growth driver, which are in line with the long-term trend that we have delivered in the last 10 years before COVID, which are on the left side of the chart and which are also consistent with what has been delivered in '23/'24. Moving to the tax-free shopping revenue. There also, we are guiding to a revenue growth of 7% to 11% from the volume growth of 10% to 14% because of 2 elements: first, pricing pressure of 1.3%; and secondly, a mix effect of 1.7%. There also are elements which are in line with previous period that you have on the left side of the chart, with the exception of the pricing, where we have seen that, thanks to our differentiation that we have rolled out, namely the payment integration, but also the mobile customer care, we have been able to reduce the pressure on the price, delivering even this year an only 50% bps decrease from the pricing. But nevertheless, we are continuing to guide with this 1.3% pricing impact for the long term. So in summary, from this 10% to 14% volume increase, we translate the guidance in terms of revenue increase for tax-free shopping to 7% to 11%. For the FX solution, there also same, I would say, elements. First, a multi-driver growth, which lead to a 9% to 13% volume and revenue growth, no impact between volume and revenue in the FX solution. And there also multi-driver, as I was mentioning, the market, but also the signature of new acquirer, cross-selling of existing solutions to existing acquirer and more penetration, which are very much in line with what we have delivered in the past. So this slide also concludes the presentation. And basically, it's just a reminder of the fact that Global Blue is well hedged against the risk of inflation, but also recession. I remind you that during the last year, we have been able to benefit from the luxury brand price increase, which were higher than the inflation of the cost, which has been one of the benefit for Global Blue explaining the recovery, which is well above 2019, but also an element which is important is in a recession environment, Global Blue in the past, during the great financial crisis, but in other crisis also have demonstrated the resilience versus the luxury market and also the travel industry, the main reason for that being the fact that Global Blue is more skewed to high net worth individual and affluent consumer, which are less, I would say, sensitive to economic shock, which can be named inflation or which can be named recession. So with that in mind, just to remind you that we are at your disposal with Roxane to have any one-on-one meeting in the coming days. Thank you very much for your listening. 
Roxane Dufour: Thank you.